Operator: Good afternoon, and welcome to Peraso Inc.'s Second Quarter 2023 Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded today, Monday, August 14, 2023. I would now like to turn the call over to the host for today's program, Mr. Jim Sullivan. Please go ahead.
Jim Sullivan: Thank you. Good afternoon, and thank you all for joining today's conference call to discuss Peraso's second quarter 2023 financial results. I'm Jim Sullivan, CFO of Peraso. And joining me today is Ron Glibbery, our CEO. Today, after the market closed, we issued a press release and related Form 8-K, which was filed with the Securities and Exchange Commission. The press release and Form 8-K are available on Peraso's website at www.perasoinc.com under the Investor Relations section. There is also a slide presentation that we will be using in conjunction with today's call that may be accessed through the webcast link on the IR website. As a reminder, comments made during today's conference call may include forward-looking statements. All statements other than statements of historical fact could be deemed as forward-looking. Peraso advises caution and reliance on forward-looking statements. These statements include, without limitation, any projections of revenue, margins, expenses, non-GAAP gross profit, non-GAAP gross margin, non-GAAP operating expenses, adjusted EBITDA, non-GAAP net loss, cash flows or other financial items, including anticipated cost savings. Also, any statements concerning the expected development, performance and market share or competitive performance of our products and technologies. All forward-looking statements are based on information available to Peraso on the date hereof. These statements involve known and uncertainties and other factors that may cause Peraso's actual results to differ materially from those implied by the forward-looking statements, including unexpected changes in the company's business. More detailed information about these risk factors and additional risk factors are set forth in Peraso's public filings with the SEC. Peraso expressly disclaims any obligation to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Additionally, the company's press release and management statements during this conference call will include discussions of certain measures and financial information in terms of GAAP and non-GAAP. With respect to remarks on today's call involving non-GAAP unless otherwise indicated, referenced amounts exclude stock-based compensation expense, amortization of reported intangible assets and the change in fair value of warrant liability. These non-GAAP financial measures, definitions and the reconciliation of the differences between them and comparable GAAP measures are presented in our press release and related Form 8-K, which was filed today with the SEC, which provide additional details. For those of you unable to listen to the entire call at this time, a recording will be available on the IR section of our website. With that, I will start today's call with an overview of the company's financial results for the quarter and then turn the call over to Ron to present – update, excuse me. Now turning to the results. Total revenue in the second quarter decreased to $2.4 million from $5 million in the prior quarter and $4.3 million during the same quarter a year ago. Product revenue from the sale of our memory integrated circuits and millimeter wave integrated antenna solutions in the second quarter was $2.2 million compared with $4.9 million in the prior quarter and $4.1 million in the second quarter of 2022. The sequential and year-over-year decrease in second quarter product revenue was primarily attributable to lower shipment to both millimeter wave products and memory ICs, which we primarily attribute to the inventory correction and underway in the market. Royalty and other revenue for the second quarter of 2023 comprised $0.2 million of royalty revenue from licenses of our memory technology and other revenues from performance of nonrecurring engineering services for a millimeter wave customer. GAAP gross margin was 25.3% in the second quarter compared with 38.3% in the prior quarter and 34.7% in the year-ago quarter. On a non-GAAP basis, excluding amortization of acquired intangible assets, gross margin for the second quarter was 45.9% compared with 45.4% in the prior quarter and 43% in the second quarter of 2022. The higher non-GAAP gross margins for the second quarter were primarily a result of revenue mix reflecting increased revenue contribution from memory IC products. As stated in previous quarters, we continue to target a corporate non-GAAP gross margin of approximately 50% through a combination of the benefits from the prescale and reduced production costs on our millimeter wave products as well as the contribution from sales from our higher margin memory IC products. GAAP operating expenses for the second quarter were $5.6 million. This compared with $5.7 million in the prior quarter, which included a $0.4 million gain on a previously completed license and asset sale and $8.5 million in the second quarter of 2022. Total operating expenses for the second quarter of 2023 on a non-GAAP basis, which excludes stock-based compensation and amortization of reported intangible assets, were $4.1 million compared with $4.3 million in the prior quarter and $6.6 million in the same quarter a year ago. The sequential and year-over-year decrease in operating expenses reflects the incremental benefits from cost reduction initiatives and other previous actions we began implementing during the second half of 2022 to streamline operations, including the license and asset sale for certain memory technology that closed in the third quarter of 2022. We continue to expect these collective actions will result in lowering our operating expenses by approximately $5 million on an annual basis as we realize the full anticipated benefits over the next few quarters. GAAP net loss for the second quarter of 2023 was $4.1 million or a loss of $0.17 per share compared with a net loss of $3.1 million or $0.15 per share in the prior quarter and compared with a net loss of $7 million or $0.33 per share in the same quarter a year ago. On a non-GAAP basis, net loss for the second quarter of 2023 was $3 million or a loss of $0.12 per share, which excludes stock-based compensation, amortization of acquired intangibles and the change in fair value of warrant liabilities. This compared with a non-GAAP net loss of $2 million or $0.09 per share in the prior quarter and a net loss of $4.8 million or a loss per share of $0.23 in the same quarter a year ago. The weighted average number of basic and diluted shares outstanding for purposes of calculating both GAAP and non-GAAP EPS for the second quarter of 2023 was 24.3 million shares, which excludes 1.8 million shares of our common stock and exchangeable shares that are currently escrowed. Adjusted EBITDA, which we define as GAAP net income or losses reported excluding stock-based compensation, amortization of reported intangibles, change in fair value of warrant liabilities, interest expense, depreciation amortization, and the provision for income taxes was negative $2.8 million in the second quarter compared with negative $1.8 million in the prior quarter and negative $4.5 million in the prior year period. From a balance sheet perspective, as of June 30, 2023, the company had cash, cash equivalents and short-term investments of approximately $2.7 million, which includes the remaining proceeds in the company’s registered direct offering and concurrent private placement completed at the beginning of June 2023. As a result of the company’s expected operating losses and cash burn and recurring losses from operations, the company will need to raise sufficient capital through additional equity or debt arrangements as further described in the company’s quarterly report on Form 10-Q for the period ended June 30, 2023 as filed with the Securities and Exchange Commission. Regarding our business outlook similar to the last quarter, our near-term visibility continues to be impacted by multiple unrelated factors to make it difficult to confidently forecast the full range of potential outcomes specific to the third quarter. In addition to the more general uncertainty associated with the broader macro environment and end market demand in the second half of the year, the two customer transactions that we discussed last quarter are still pending and have yet to close, and we may commence additional end of life shipments to our customers as early as this current quarter. Although the difficulty of predicting the timing and probability of these potential transactions and shipments prevents us from being in a position to provide specific guidance for the current quarter, we remain optimistic while closing one or more or both of these pending transactions by the fourth quarter of 2023. To the extent this occurs, we will consider providing future updates regarding our expectations for the third quarter. With that said, I’ll now turn the call over to Ron to provide business update. Ron?
Ron Glibbery: Thank you, Jim. Good afternoon and welcome. We appreciate you joining us on today’s conference call. Without question, it was a uniquely challenging quarter. As Jim discussed, our lower revenue during the second quarter was primarily attributed to a significant and ongoing inventory correction across our customers. Although we’re disappointed with the reduced shipments during the quarter, we’ve continued to make progress on expanding the customer base for our millimeter wave products. Additionally, despite the headwinds in our business, we remain encouraged by the continued positive momentum observed in the broader fixed wireless market, particularly as wireless internet service providers or WISPs expand deployments of multi gigabit connectivity in the unlicensed 60-gigahertz spectrum to a growing number of subscribers. Turning to Slide 5 – turning to Slide 5. As discussed in the recent quarters, one of our primary strategies has been to leverage Peraso’s historical success with a relatively small group of leading millimeter wave fixed wireless customers to meaningfully expand and diversify our existing customer base. As it turns out, the current inventory correction has only further emphasized the importance of increased customer diversification. With this fundamental objective top of mind, I want to provide an update on the engagement pipeline metrics that we introduced last quarter. As a reminder, due to certain prior constraints, we only began executing on the strategic initiative to the extent our commercial reach and broaden – to extend our commercial reach and broaden the customer base in late 2022. This slide shows the progression of Peraso’s pipeline of new business engagements over just the past few months. Normally as our combined number of funnel and active engagements increased from 75 at the time of our last conference call in May to a total of 80 in mid-August, but during this period, we also advanced several previous funnel opportunities to current active engagements. In addition to using these metrics internally to measure the projected economic value over existing pipeline, they also view them as a leading indicator of our progress towards achieving a broader and more diversified customer base. Moving to Slide 6. As demonstrated proof points of converting active pipeline engagements into a new customer adoption and expansion expanded commercial opportunities, I want to highlight a few of our recently announced customer wins. First in June, we jointly announced the commercial production of Tachyon Networks new TNA-30x product family and leveraging Peraso’s perspective 60-gigahertz millimeter of antenna modules and unique point to point and point to multi-point capabilities for fixed wireless access applications. In July, together with Jaguar Wave, we announced the commercial production of its new point to point 6150/51 product family incorporating Peraso’s millimeter wave technology, also positioned as a point-to-point and point to multi-point solution for 60-gigahertz unlicensed fixed wireless access networks. This new Jaguar Wave product was specifically designed to target and withstand applications in harsh outdoor environments. And most recently, earlier this month, Zinwell a leading Taiwan based manufacturer of consumer broadband and enterprise grade networking products launched its new 2.5 gigabit Ethernet bridge radio incorporating Peraso’s X120 chipset designed as a solution to provide lower cost wireless connectivity between buildings and other geographical obstacles. This wireless networking bridge is in most first 60-gigahertz enabled product, and they chose Peraso’s millimeter wave solution with our phased array antenna technology for its unique ability to overcome the challenges of fixed wireless applications in dense urban environments. Lastly, I want to acknowledge one of the potential customer transactions that was pending at the last – at the time of our last conference call. We continue to be actively engaged with this opportunity, despite it taking longer than previously anticipated to formalize. The specific opportunity is envisioned by both parties to comprise of a multi-phased co-development agreement to create a customized solution for fixed wireless access applications with the customer then purchasing production volume units of the resulting product from Peraso. We remain optimistic and continue working towards a completed contractual agreement in the coming months. From a broader perspective, we continue to believe that Peraso is the market leader in 60 gigahertz millimeter wave solutions for fixed wireless access. Given that a majority of the wireless ISPs or WISPs that utilize our millimeter wave technology don’t buy directly from Peraso. We recently initiated an internal project to better understand where and how broadly our millimeter wave technology is being deployed by WISPs across North America. On the left side of Slide 7, there’s a snapshot of our findings to-date. This includes 15 of the WISPs we’ve identified as is utilized in Peraso enabled hardware and a map of their collective geographical deployments. Based on third-party market research, the impressive growth of wireless ISP subscribers in the United States is forecast to continue to grow through at least 2025 with our market leading millimeter wave technology and portfolio of solutions for 60 gigahertz fixed wireless access. We are well positioned to further capitalize on this sizable market trend also, and although still in the earlier stages, I would add that we do have and are working on to expand current active engagements targeting planned geographical deployments outside of North America. Now, turning to Slide 8. We continue to view 5G millimeter wave fixed wireless access is a massive and incremental market opportunity over the medium term. Although deployments in the mid-band spectrum temporarily slowed down the urgency among carriers to aggressively pursue 5G millimeter wave, we’ve started seeing renewed interest and focus on the inevitable adoption of millimeter wave by carriers to maximize their bandwidth capacity. During the quarter, we achieved major milestone with Peraso’s announcement collaboration with pSemi, a subsidiary of Murata and a recognized global leader in the development and integration of high performance RF solutions. This cooperation resulted in the successful integration of Peraso’s 5G millimeter wave beamformer RFIC and pSemi’s high performance up-down converter to create a cost effective RF solution for 5G fixed wireless access Customer Premise Equipment or CPE. This joint solution directly addresses one of the keys to unlocking broadband fixed wireless access adoption, which is the availability of a low cost customer terminal. We also demonstrated the integrated RF module together with pSemi at the International Microwave Symposium in June, where it received strong interest and feedback from a combination of future perspective customers and partners. More generally, the ability of Peraso’s 5G beamformer to enable more cost effective solutions and faster deployments for both 5G CPE applications, as well as 5G millimeter wave in the carrier market has contributed to a growing number of prospective engagements and evaluations with a series of OEMs, equipment vendors and 5G baseband vendors. Switching gears to an update on our memory IC business. As discussed in our previous call, we have noticed customers – we have notified customers of the end of life of our memory devices due to our foundry partner discontinuing the manufacturing process used to fabricate wafers for these products. We received initial forecast from our memory customers, which thus far have been very encouraging. Based on these initial indications, we currently expect that customer purchase orders for the last time by will be $15 million to $20 million. The associated shipments and revenue are anticipated to possibly begin this year with the majority of POs being fulfilled throughout next year and potentially ending in 2025. Looking ahead, we remain focused on further expanding Peraso’s leadership in millimeter wave fixed wireless. Our shipments related to the end of life of our legacy memory products initially ramp and come to an end over the next handful of quarters. Our millimeter wave silicon will increasingly become the primary driver of our future business. The market opportunity for millimeter wave across both unlicensed 60 gigahertz and licensed 5G fixed wireless access is substantial and it continues to demonstrate growing momentum. In terms of our leading millimeter wave technology and product portfolio, we believe Peraso is well positioned today and will – and with a future roadmap to meaningful capitalize on our growth of the fixed wireless access market. That said, we also acknowledge that headwinds we’re facing in our – today in our business, including an extended industry-wide inventory correction, as well as general uncertainty related to the current macro environment – macroeconomic environment. Specific to our balance sheet, we are pursuing a wide variety of potential funding arrangements to address the company’s short-term cash needs and the working capital necessary to support existing operations. At the same time, we’re conserving cash by delaying or deferring certain expenditures. In addition, we recently engaged an investment bank to assist with exploring potential strategic alternatives, which could include a potential M&A with sale of certain assets or other similar transactions. As part of considering any such alternatives, our first priority will always remain on maximizing stockholder value, while simultaneously seeking to extend our current business operations. We believe it’s prudent, given the circumstances to connect this exploration process in order to identify one or more potential alternative paths forward. That said, we expect any strategic alternatives as well as the optimal path forward will take additional time to fully materialize.  Finally, I want to emphasize that our team’s near-term focus is on day-to-day operation of the business. This includes continuing to advance our active engagements to drive renewed and more predictable revenue growth, as well as expanding our pipeline of prospective engagements in support of establishing a more diversified customer base. That concludes our prepared remarks, and we would be glad to take a few questions. Operator, could you please assist with the Q&A session?
Operator: Certainly. [Operator Instructions] The first question today is coming from Kevin Liu from K. Liu & Company. Kevin, your line is live.
Kevin Liu: Hi. Good afternoon, guys. I guess first off, you had a number of nice customer announcements on the 60 gigahertz side of things. So it’s hoping you can give us a little bit of an update on kind of the competitive landscape out there. Who are you beating in some of these transactions? Why do you think you’re being so successful within the market and as you look towards the next few quarters here, how much more of your pipeline would you expect to convert into production customers?
Ron Glibbery: Well, thank you very much, Kevin for joining in today, and I appreciate the question. Well, in my humble opinion, I mean, our position on 60 gigahertz is very strong competitively. I mean, we’ve had historically Qualcomm and a company in Sweden called Sivers, Renesas combination. I mean, we as you know, our lead customer is kind of the leader in the field ubiquity. We’ve got several product design wins there. We have a key feature with compared to Qualcomm, which is we support a wider frequency range, and that’s actually kind of a showstopper in terms of from a competitive perspective. So that’s really kind of the main reason we’re winning business. My guess is we will just continue to do so. I’m very optimistic in terms of our pipeline in terms of closing deals and really marching towards a very, very significant market share in 60 gigahertz. In terms of what we are converting, I mean, we’re – when we’ve announced three design wins, I guess over the last month or two. We just really believe we’re going to continue to announce those design wins. And I just I hope that be a clear message. We’re getting out there today is yes, there’s been an inventory correction, but obviously we’re particularly exposed with very concentrated customer base. And our key objective here is to fix that problem. I think we’re making good progress to do that in 60 gigahertz, and we will continue. I’m very optimistic in terms of our ability to continue to do that and fix, really get to this diversified customer base that will really help us overcome these inventory corrections in the future.
Kevin Liu: Understood. And just on the topic of inventory corrections how far along in the cycle do you think you guys are at this point? For instance, do you expect it to continue throughout the back half of your year or would some of the new wins be able to allow you to offset that and start to show more sequential growth towards the back half?
Ron Glibbery: Yes, that’s a good question. I mean, we’re not – I would probably say realistically that Q4 is when we’re going to really start to see those come back on like two vectors there. One vector is existing customers but then – but the next vector is new customers. So really we’re targeting Q4. And I think in terms of just overall, when you look at the big picture, we started really when Mark came on board late last year, normally it really takes a good year to get people in production. So I’m confident we’ll see new design win announcements every quarter, but really I think Q4 is the quarter we’re going to start to see really that shift start.
Kevin Liu: That’s helpful. And then just on the memory side of the business, I wanted to clarify the 15 million to 20 million in orders that you guys are talking about now is that kind of a full amount you expect through the end of life? Or is that just the initial indication and you could see more potentially come in? And then the other part of the question is just with some of these expected orders in hand, can you talk about any sort of upfront deposits or cash that you may receive from these customers related to these orders?
Ron Glibbery: I’ll take the first part of that and then leave it to Jim to answer the financial part. But that’s our the 15 million to 20 million is kind of lifetime, and it’s going to be over the course of – we expect it to start in 2023, the bulk of it in 2024, and then, some residual in 2025. But in terms of some of the specific financial arrangements, maybe Jim, you could speak to what we’re looking at there?
Jim Sullivan: Yes, no, the 15 million to 20 million is specifically EOL. We still have a backlog of production orders from the primary customers, but given the inventory correction and we had seen this coming on the memory side, given our lead times, we kind of had, could tell that Q3 was going to be a dip from memory, but the 15 million to 20 million comprises what we see from the EOL. Fingers crossed it’s higher, but we’re obviously pretty comfortable with that number to put it out there. There’s still another – I’ll just say 1.5 million plus of orders sitting on the backlog. And given this pervasive inventory correction, we’ve seen them push out where possible a lot of these are through our larger customers contract manufacturers and the algorithm spits push out. So I think that answers your question on quantification. Obviously, we announced this in May. It’s a tough market out there with the inventory correction, so the customers have definitely had some concerns over kind of when they’re trying to manage their own inventory, putting up orders and prepayments. So like anything, it’s taking a little bit longer to round those up. But as Ron, I think I mentioned my script and Ron just reiterated, we are expecting orders to start moving here as early as here in the third quarter. But that’s taken a little but longer than planned, as far as getting the orders in hand and addressing the upfront. Not surprising, it’s – we’re not the only ones doing an end of life will be in our case. It was forced by our supplier. But there’s enough of these going on, it’s tough to get folks to issue orders right now.
Kevin Liu: Understood. Thanks for taking the questions. I'll get back in queue.
Jim Sullivan: Thanks, Kevin.
Ron Glibbery: Thank you, Kevin.
Operator: The next question is coming from David Williams from Benchmark. David, your line is live.
David Williams: Hey, good afternoon, gentlemen. And congrats on navigating a challenging macro here.
Ron Glibbery: Thanks, Dave.
David Williams: I think, yes, I jumped on the call a little bit late. So forgive me if I ask something that's already been asked. But one I wanted to touch on maybe just from a larger kind of a T-Mobile type thinking, but your T-Mobile, they've been very enthusiastic about the growth of their fixed wireless access customer base, and I certainly understand the differentiation between those and what you're doing, just kind of where they're operating. But it feels like we should start to see some pull in over time as they transition in millimeter wave, just kind of given the existing spectrum constraints. Can you maybe talk a little bit about what you're seeing from the service provider side and maybe the operators? And just are you seeing any movement there, any traction? And maybe what are you thinking here in the near-term?
Ron Glibbery: Well, thanks, Dave, for that question. Well, actually, the kind of the new – I would say the news for the day in millimeter wave is that Reliance Jio in India has announced rolling out. They've done – completed all their testing and are rolling out 26 gigahertz millimeter wave in 22 cities in India. So I really think that's one of the most important opportunities in the market right now. So it's great to see. And I think India is a special case because fiber is very difficult to run there. And there's other factors that make wireless more compelling. So we're pleased to see that there's – I think, very serious traction there in terms of 26 millimeter wave. I think in America, we're seeing this like the slow steady increase of millimeter wave and – but I just continue – we continue to believe in our thesis, which is that the very expensive mid-band or even sub-6 gigahertz spectrum for the carriers such as T-Mobile. And by the way, T-Mobile has now started to deploy some millimeter wave for exactly that reason. I mean, they've actually increased their fixed wireless rates, by the way, over the last few weeks. And it's because – they really are – we believe, running out of spectrum in their mid-band and that will be the real transition to the millimeter wave as they need to really utilize that spectrum for their mobile customers and put their fixed wireless customers on fixed wireless. Like in terms of timing for that one, Dave, it's a bit more difficult. We believe it's going to be more of a kind of 12 to 18 month situation, but we do believe that the thesis is valid, which is that the expensive mid-band, low-band spectrum is getting used by the carrier customers. The carrier customers are much more lucrative and we're going to see that the millimeter wave for fixed wireless with T-Mobiles and the Verizons and the AT&Ts. Does that answer your question?
David Williams: Yes. Yes. Very helpful. Thank you. And if you kind of look out across your customers and your engagements now. Is there a way to think about the typical design cycle? These are maybe – design win to revenue cycle you would typically expect. I mean how quickly can these transition from just a simple design into an actual revenue-producing product on the shelf?
Ron Glibbery: Yes, that's an important question. I mean, I would say right now – so we have, of course, two different markets. We have the 60 gigahertz market and the 5G fixed wireless market. So on the 60 gigahertz side, we control the entire system. We have the baseband. We have the antenna. We have the radio. We have modules. It really and this is actually real-time information. I mean we're really looking, I think, at a best case of six months realistic case of like six to nine months. But six months would be best case. But really, I think we're down to nine months just because we've also – by the way, we have a very, very strong manufacturing partner with a company called 8devices in Europe there. And we've also got some Jaguar wins as a manufacturing partner in China. But having these manufacturing partners is so critical in terms of time to market. They're just very – these guys are specialized. They know how to build millimeter wave products. Obviously, our modular products accelerate time to market. So I think we've got, let's call it, nine months from engagement to full deployment on the millimeter wave. 5G is frankly longer just because it's 5G, it's carrier-oriented. I would say that's more of a 12 to 18 month cycle from kind of design start to production. Just because it's a more complex product, the carriers do a lot more testing. We don't control the whole process. We're working with baseband partners. So I think realistically, you're looking at 12 to 18 months on a 5G millimeter wave design.
David Williams: Okay. Great. And then if you where your enthusiasm lies in terms of just what you're seeing or maybe what's improved over the last quarter relative to your prior quarter. What would you say has you most upbeat and what is maybe not moving along as well as you would have expected?
Ron Glibbery: I would say two points there. Again, if you – I don't know if you saw the slide presentation, Dave, but there was a slide that we're showing the carriers that are picking up with the WISPs, that are carrying upper 60 gig products. So we've got – there's at least 15, but every quarter, we're going to update that slide. And what's really driving that business is we're really driving our – like the price points of the end equipment. So right now, it's $200. We believe that we can get it below $150. So – and on top of that, we provide gigabit solutions. So now all these WISPs and go to the customers and say, by the way, I can provide you for a very, very cost-effective price, one gigabit solution these people. So it's actually quite phenomenal. So I'm always a big believer. I've always been a big believer in reference accounts. I mean these WISPs really primarily communicate [indiscernible] and you see very, very positive momentum and very positive support for 60 gig, not only 60 gig, but 60 gig based on Peraso, specifically. So we are kind of all in on the WISPs market. And I think you're really going to see that chart grow not just in North America, by the way, on a worldwide basis. The other point I'd like to make, Dave, on that, on the 60 gigahertz side of things is we're actually starting to see like a lot of the business we were seeing was more outside the city, rural, suburban. But now we're seeing real traction in what we call dense urban environment. So this is really a great situation for 60 gigahertz because traditional Wi-Fi is a very – as you know, a very broad signal, but it’s very difficult to isolate a network. And now with our technology, we can address that dense urban opportunities with our beamforming technology to really provide services within a city as opposed to outline areas. So we’re seeing some momentum there as well. So that’s been great progress. I think the 5G side of things is definitely taking longer than we’d hoped frankly. I think this announcement in India today was significant. I mean, it’s a very significant amount of customers that that they’re addressing. But we’re just really kind of standing by on the 5G side of things to really see the meaningful momentum there. So, we’ve taken kind of an opportunistic approach from an R&D perspective and support perspective. We’re pretty focused on 60 gig, but obviously we’re ready if 5G takes off – 5G millimeter wave. But as Kevin asked earlier, the timing on that is still a bit unclear.
David Williams: Okay, very helpful there. And then just maybe lastly for Jim. If you kind of think about the – and I’m sure you touched on this on the call and I may have missed it. But can you just talk about the balance sheet and kind of the puts and takes there? What you may be working on and just kind of how we should think about the cash flow and balance for the next few quarters?
Jim Sullivan: Yes. So as I mentioned in the script, in the prepared remarks, we have a couple of transactions that have been looming out there. Certainly the current environment has not helped bring those to closure, but they are still alive and in play. I think right now we’re looking at the more of possibly one in September, the other one Q4. So those are kind of out there in play. We – I think as I answered in response to one of Kevin’s questions, and I think as Ron highlighted in his prepared remarks, we’re pleased with the initial forecast orders from the customers that have come in on the memory side. And to me, I’ve been on a few of those calls supporting our Chief Revenue Officer and in particular I have relationships with one of the customers going back a while. It’s a timing thing of how we kind of manage this. Obviously in this environment, we’re putting out a component for a product line of a much larger organization and they’re dealing with mandates not to put more purchase commitments on the books, cut down inventory, et cetera. And we’re looking for them to go the other way. Do you know what I mean? Swimming upstream on that regard. So it’s really kind of managing the timing on that. And I think we’re working through it such that, as I said, we expect to start making some initial shipments this quarter. But yes, we are in alert to funding opportunities. We obviously did our financing there in early June as I cited. So we’re continuing to kind of manage that. But from the positive side, we do have deals we’re working, the EOL is a highly profitable – albeit, one and done over the – let’s call it, longest case, call it two years. But we’re talking even just taking the low end of the range, $15 million of revenue. As I also said in response to Kevin, we still have regular production that’s not in that number. That’s a 65% to 70% gross margin. So we just need to get – navigate some timing and start moving that product out. And then that will certainly assist our balance sheet.
David Williams: Okay. Are there places, brokers or distribution networks that typically hold in some of this end of life type of components? Is that an opportunity or do you think they’re willing to carry a little more? And maybe bridge to when some of your larger customers may begin to place those orders?
Jim Sullivan: We’re having those – we have – it’s a good question and there is some opportunity there. We have had some discussions. But one of the challenges is, you’re in the middle – pardon the use of that, maybe it’s a middle man, a historic term there and it can complicate negotiations, et cetera. And the person in the middle wants a piece of the pie, which maybe doesn’t benefit either of us, but we’re looking at those opportunities as a way for the customer to get it taken care of but not have the metrics. But still in play. Also obviously a slower time of the year to be catching people, people on vacation, et cetera. This summer after I think is the first kind of full summer we’re seeing a lot of people with what’s happened post-pandemic, et cetera. So yes, we are exploring those opportunities as well.
David Williams: Okay. All right. Very good. And one more if I may here. Just kind of looking at on the demand trends, clearly what these products are going into, we’ll have a return to growth at some point if it starts seeing carrier CapEx or telco CapEx begin to improve. Do you think that that’s an early 2024? Are you getting any indications on what those are? Kind of thinking about your backlog and just where the inventory is? And then is there a sense of how much excess in the channel now to be burned through before you start seeing orders accelerate?
Jim Sullivan: Unfortunately, most parties won’t share their inventory levels. So they’re not giving you the visibility and the like. You think like, hey, what’s the big deal and show me what you got. But they don’t do that. I’ll let Ron sound like he was trying to answer there.
Ron Glibbery: Well, no, I think we did mention on the call and we’re thinking Q4 is when we’re going to start to see that and into Q1, right? So I mean we definitely – there’s a combination of things not just – well, when we say inventory correction, it’s not – yes, I mean one of the issues was that because of the long lead times people were just ordering too much, right? So yes, we expect to see that start to switch over in Q4, Dave.
David Williams: Okay. All right. Very good. Certainly appreciate it. Thanks so much for the color gentlemen and looking forward to seeing the progress.
Jim Sullivan: Thanks David.
Ron Glibbery: Our pleasure.
Operator: Thank you. There were no other questions in queue at this time. This does conclude today’s conference. You may disconnect your lines at this time. Thank you for your participation.